Operator: Thank you for standing by. This is the conference operator. Welcome to the FLYHT Aerospace Solutions Second Quarter 2023 Results Conference Call. As a reminder, all participants are in listen-only mode. The conference is being recorded. After the presentation, there will an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Matt Chesler, Investor Relations. Please go ahead.
Matt Chesler: Thank you for joining our second quarter 2023 earnings call. On the call with me today is Kent Jacobs, President and Interim CEO of FLYHT, and Alana Forbes, FLYHT’s Chief Financial Officer. On our website, flyht.com, we posted a press release covering the information we will review today, as well as a webcast of today's conference call. An archived version of the call will be posted on the Investor Relations section of FLYHT's website as soon as it is available from the conference call provider. But before we start, I'd like to remind everyone to read the forward-looking statements and non-GAAP financial and other information that we've included in our quarterly report. Certain of the statements made today may constitute forward-looking statements, and these statements are our present expectations. Relevant factors that could cause actual results to differ materially are listed in our earnings materials and in our SEDAR filings, including our quarterly report, which is filed on SEDAR. During the course of this morning's call, we'll discuss certain non-GAAP measures. You can find the reconciliation of these to the nearest comparable GAAP measures in the quarterly report. And with that, I'd like to turn the call over to Kent. Take it away, Kent.
Kent Jacobs: Thank you, Matt. Good morning, everyone, and thank you for joining us. I'm looking forward to the opportunity to review our Q2 results, and I appreciate your time and interest in FLYHT. Halfway through 2023, FLYHT’s future is looking brighter than ever. After persevering through the pandemic and the loss in December of our former CEO, Bill Tempany, our team remains deeply committed and focused as we -- as the demand for our solution continues to grow. Our entire organization is energized as we are on the cusp of delivering on two of our most promising incremental initiatives, the AFIRS Edge and our weather opportunity. I will begin by discussing some macro factors in the global aviation industry, then I'll discuss many of the positive developments that occurred in our second quarter. Global air passenger demand recorded solid growth in May with industry wide revenue passenger kilometers increasing more than 39% year-on-year and reaching 96% of pre-pandemic level. For the second month in a row, domestic RPKs outperformed their pre-COVID levels, rising 5.3% above 2019 values. Internationally, revenue passenger kilometers continued to increase in May, growing by nearly 41% year-on-year and restoring 91% of their 2019 levels. All regions experienced a positive trend in international traffic demand while Asia Pacific continued to stand out with more than 156% annual growth. Carriers in the Middle East and North America fully recovered their international passenger traffic with RPKs of 17% and 1.8% above 2019 levels respectively. Moving on to FLYHT, our flagship product, the AFIRS 228 continues its proven track record with more than 4,000 aircraft utilizing the Iridium SATCOM solution and this quarter we reached a major milestone with over 5 million cumulative flight hours being reached. This speaks volumes to the longevity of our solutions -- this speaks volumes to the longevity our solutions have with over 20 years supporting the global aviation industry. Importantly, our long-term AFIRS 228 customers continue to renew with us for multi-year commitments and are increasingly doing so with expanded fleets. Our licensing business remains strong and we received an additional large order from our long term OEM partner. This represented the fifth order from our customers -- from this customer over the past few years with an aggregate value of over $11 million. The commercialization of FLYHT's 5G enabled wireless quick access recorder, the AFIRS Edge is making significant progress as we recently announced our first contract for the Edge to be installed on a fleet of Boeing 737 MAX aircraft. Interest continues to grow for FLYHT’s WVSS-II water vapor sensor system in conjunction with either an AFIRS Edge or an AFIRS 228 to provide aircraft-based observations. Real time aircraft-based observations containing relative humidity data from the WVSS-II sensor provides critical data for weather forecast and volume. This presents us with a unique opportunity to support airlines in the world's major national meteorological agencies in their efforts to enhance weather forecasting, improve airline operations and reduce aviation's impact on the environment. Our conversations with UK Met continued to advance in a positive direction as we ready ourselves to further scale the business and accelerate towards these new and exciting opportunities. FLYHT posted a number of notable achievements in the quarter. In May, we signed two new commercial agreements. The first with Sichuan Airlines, the largest airline in Western China, and the second with Bahamas Air, the national airline of the Bahamas. These agreements are for SATCOM hardware and for recurring software services. as we believe these two contracts signal the ongoing recovery of global aviation. In June, FLYHT announced an agreement with Flair Airlines, Canada's leading independent, ultra-low cost airline to purchase AFIRS Edge hardware and actionable intelligence services for Flair's fleet of Boeing 737 MAX aircraft. This is particularly meaningful for us as this is the first agreement for FLYHT’s AFIRS Edge product and it includes the SaaS offerings of ClearPort and FuelSense. Also in June, FLYHT announced we received a $1.4 million purchase order for the Iridium modems and license fleet fees from a long time OEM partner. This partner licenses FLYHT technology and delivered the AFIRS 22 8 system to their European airframe customer to have the AFIRS directly installed on aircraft that they manufactured. Additionally, I would like to publicly welcome our two outstanding new Directors that joined the company at the AGM in May. Nancy Young is a globally recognized sustainability and environmental attorney and consultant with over 25 years experience in climate change, aviation environmental matters, environmental social governance, and sustainable aviation fuels. Pete Large is a Senior Technology Executive with years of experience spanning transportation, aviation, space, civil infrastructure and construction, including specific expertise in transforming how work is done through data driven digital technologies that provide better business insights, decision making, efficiency, safety, first time quality and sustainability. Adding proven technology and sustainability expertise to FLYHT’s Board helps validate the progress we have made in establishing our company as a leader in using real time data and insight to improve aviation in the world around us. With Nancy and Pete on our team, we're extremely well positioned to continue to address the important and complex issues of technological change in aviation, operational efficiency and environmental necessity. I'd now like to turn the call over to Alana for a review of our financial performance.
Alana Forbes: Thank you, Kent. I will begin by reviewing second quarter 2023 results, then we'll discuss key operating metrics. FLYHT delivered a robust 24% year-over-year and 27% sequential increase in total revenue to $6 million in Q2. All four of our revenue categories, SaaS, hardware, licensing, and technical services increased from Q2 2022 to 2023. First off, SaaS revenue increased by 25% to $2.7 million, a post-pandemic recovery of the company's customer base, together with an increase in weather data being provided to meteorological agent organizations contributed to this increase. Hardware revenue increased 28% to $1.2 million in Q2 2023 over Q2 2022. A total of 15 installation kits were shipped in the quarter, equaling the 15 shipped in last year's Q2. Revenue per shipment will vary based on the aircraft type in combination with the AFIRS variant chosen for install. Licensing revenues increased by 2% to $1.4 million in the quarter due to increases in the number of modems and associated license fees ordered for delivery in comparative periods. Technical services revenue increased 81% to $747,000 in the quarter compared to the same quarter last year as a result of data migration project work delivered on, as well as an increase in customer requests for certification services. The addition of cross consent services to this cat -- revenue category started in late Q1 of 2022. In terms of profitability, we reported a strong quarter of margins with Q2 gross margins coming in at 59.6%, increasing 380 basis points year-over-year compared to 55.8% reported for the same period last year. This year-over-year increase in gross margin was driven primarily by our growing SaaS revenue, which as previously mentioned, increased 25% year-over-year. Total operating expenses decreased by 4% to $3.6 million in the quarter compared to $3.7 million reported in the same period last year. Distribution expenses increased 19% over last year, mainly due to the effect of COVID-19 related government grants received in 2022 that were no longer available in 2023. This was offset by year-over-year decreases in both administration and research and development expenses. Administration expenses decreased 22% year-over-year, mainly due to a reduction in salaries and benefits and contract labor. R&D expenses decreased 9% year-over-year due to a variance in specific project requirements. EBITDA rebounded to a positive $168,000 compared to a loss of $906,000 during the same period last year. Net loss was $169,000 compared to a loss of $1.1 million reported in the same period last year, representing a positive variance of $972,000. Our results showed positive from operating activities in Q2. At June 30th, the company had working capital of $2.3 million compared to $4.3 million as of December 31, 2022, a decrease of $2 million. The company ended the quarter with balances of $1.7 million in cash and cash equivalents and an undrawn credit facility of $2 million. It is the company's intention to continue to fund operations by adding a higher margin revenue and its resulting cash flow, including from the recent large OEM licensing order, which certainly bolsters our near-term cash position, particularly in the third and fourth quarter. We are really fortunate to have a suite of existing services that generate cash flow with allow us to invest for the future, and our team is always considering our pricing strategies, payment term options and ways to reduce our cost where possible without negatively impacting our ability to deliver quality product, ensuring that we continue to have the financial resources at our disposal to move swiftly as we go after these large and exciting opportunities. Now, looking ahead, we expect continued growth in our business, driven by the ongoing recovery of the global aviation industry, as well as the execution of our strategy. We expect over the coming years, Edge platform sales will drive increased hardware sales and that SaaS revenue will likewise enjoy continued growth. A second phase of SaaS growth should occur as the installed base of Edge platforms increases and customers recognize and accept the tremendous value that our software solutions provide to their operations. And with that, we do have several questions that have come in at investors@flyht.com that we'd like to address. So the first is to do with STC. So which STCs are currently in the process of acquisition, for which aircraft types, in which jurisdictions, at what stage are they in the process, or any contract announcements pending receipt of an STC? Will WestJet be taking the Edge along with AFIRS SATCOM for its entire fleet? That's a big question. Kent?
Kent Jacobs: There's a lot to that. So I'll try to knock it off one part at a time. Which STCs are currently in process of acquisition? We're actively working on the 737 Max and the NG, and the A320 STCs. The jurisdiction that we're completing those STCs in is Canada. And the idea is that we will familiarize those once we've completed them in Canada to the other jurisdictions like the US through the FAA and the [indiscernible]. The state of those is that we've completed the provisions STC and we're doing the installation so that we can get the activation STC. It's a two-stage process. We're more than halfway through. We've done the provisions, we're in the process of doing the installation. The aircraft types as mentioned are the A320 and the 737 NG and MAX. Jurisdictions is in Canada where we're starting. There are no direct contract announcements pending in STC. And with WestJet, we are hoping to work with them on the sale of the Edge along with the AFIRS SATCOM that we've been providing for years.
Alana Forbes: Okay. The next theme is weather, one of our favorite topics. Has Loganair been performing tests of the WVSS-II with the Edge for UK Met? I think that's probably an answer to Loganair's support for our STC work, that we posted on social media recently. Will their fleet be the 30 aircrafts that will fulfill that contract? Has the deposit been received towards installations as of yet? When will FLYHT start seeing actual revenue from the agreement of the five or so global meteorological offices that FLYHT sees as being similarly interested, which is likely to be next? At what stage are talks with them after about three years now, where is the ECC in Canada on their trial, ECC being the UK equivalent in primary Canada? Kent, do you want to address some?
Kent Jacobs: Yeah, again, that's a great question. And there's a lot there. Look, FLYHT has been working very hard with UK Met and with airlines that will be taking the WVSS-II -- the FLYHT WVSS-II sensor and so we can meet the contract with UK Met. With Loganair, we've been able to do an investigation on their aircraft, their aircraft type. and that's Loganair is a possibility for us to be able to work on that contract with UK Met. When we're going to start seeing actual revenue from the agreement? Once the agreement is signed and we have the product on the aircraft, it's a SaaS opportunity and we will be pushing for that, and we'll be generating the data of the aircraft-based observations the moment the installations are complete. Of the five or so Global Meteorological Offices, FLYHT is working very closely with UK Met, but also NOAA. NOAA is a customer of ours right now. They receive our data. And we're looking to expand relationship not only with UK Met, but also with NOAA. The other agencies around the world, the other primary weather agencies around the world are very much waiting to see how the process with UK Met and NOAA fall out. So as we as we complete those deals with UK Met and NOAA, we expect other agencies to definitely pay attention and we think it's a huge opportunity for us moving forward. What are the stages of the talks with them? We're always in talks with the various weather agencies around the world. As I mentioned, there's an element of waiting to see how the two flagship ones UK Met and NOAA respond with FLYHT. And with regards to Canada on their trial, FLYHT has been supplying the environment agency in Canada with data for years. There is no trial there. We're supplying them with aircraft-based observations, have been for a long time and we don't see that changing.
Alana Forbes: And that's under contract there, that's a paid arrangement. Two questions. Okay, the next batch of the major commercial aircraft types, what is the preferred make or model for the installation of the Edge or WVSS-II and why? What commercial flight characteristics are the most appealing to the Met offices to gather the data they want?
Kent Jacobs: When it comes to the preferred maker model, for the installation of the Edge and the WVSS, we're happy to supply the Edge product or the AFIRS 228 with a WVSS on any aircraft type. We don't have a preference other than to say we're focusing on the A320 and the 737 and GMAX fleets right now. So they would be great aircraft and we like those because they have -- they're the most popular aircraft on the planet and they give us that best opportunity. But a preferred maker model, something that we have the STC for, would always be, would be preferred. When it comes to commercial flight characteristics, that are most appealing to the Met offices, it's the location where the aircraft are flying that is the primary driver for the data that the Met offices would like. So if the Met offices are looking for information in parts of Africa or if Met offices are looking for information from certain regions in China or anywhere on the world, that is the largest -- that's the largest factor for those Met agencies. Having said that, it is the departure and the descent of the aircraft that are also the most valuable. The en route data that is collected while the plane is in cruise is very valuable, but not quite as valuable as the information as the aircraft goes up and down through the atmosphere. Yeah.
Alana Forbes: Okay. Is the WVSS-II seen as preferred over the TAMDAR sensor? They accomplish different tasks, would both ever be installed on the same aircraft?
Kent Jacobs: You would never install the TAMDAR probe and the WVSS-II on the same aircraft. I mean, it could be done, but it was -- there's no benefit to it. The primary parameters that is gathered from the TAMDAR probe and the WVSS-II that is a value to the Met agencies is the relative humidity. The TAMDAR sensor does have independent collection of some data that allows for aircraft based observations to be captured off aircraft types that don't have a rich data bus to provide that other core information, things like wind speed, wind direction, temperature, but the aircraft that we're dealing with, especially with the A320, 737 NGs, and the MAXs and the other aircraft we are targeting with our STC, they have that information from the aircraft. So, yeah, you wouldn't install the two products on the same aircraft. The preference is for the WVSS-II, it's a different technology. It's a more advanced product.
Alana Forbes: Great. So those are all of the questions that we received in advance. Ashia, will turn the call back to you and we'll be pleased to take questions from callers.
Operator: Thank you. We will now begin the analyst question-and-answer session. [Operator Instructions] The first question comes from Bruce Krugel, a private investor. Please go ahead.
Bruce Krugel: Hi, Kent. Hi, Alana. Seeing that the expenses are being quite nicely controlled, what is of note in the current quarter is R&D declined sequentially. Would that suggest that Edge 228 and Actionable Intelligence development is starting to tail off?
Alana Forbes: I would say that it's varying quarter-over-quarter for several reasons. Each of the products that are in development have different needs at different points in their development Our, Edge product, what the focus is for that product right now, is on STC activity, mainly, although there is some -- in particular, software development that is still required. But the hardware development is approaching its final piece for the -- on the flange side of it anyway. The 4-MCU variant will require more hardware development and some software development. But our focus right now is on the STC work.
Kent Jacobs: There -- Bruce, there are always SaaS opportunities for us to continue on with the data that's collected specifically off the Edge and so that R&D activity will always remain, but we can ramp up in bring that up and down as quickly and as much as needed. But from the hardware standpoint that Alana mentioned, we're well on the way, especially with the flanges.
Alana Forbes: Yeah, we're trying to be really careful with our expenses, and cash flow. And that is -- there are several levers that we have at our disposal and one of those is, where exactly to push our R&D dollars in any quarter.
Bruce Krugel: Okay. Maybe these two questions are related. So SaaS revs increased quite nicely on a sequential basis. and European revenues increased on a sequential basis. I know you mentioned weather in your narrative. I'm just wondering if an additional contribution to the increase in sequential SaaS revs is nice tractional decent growth coming out of CrossConsense?
Alana Forbes: I would say about a quarter of it was resulting from an increase in the CrossConsense business.
Bruce Krugel: So the balance, all weather, which would suggest that weather is starting to get traction back. And the reason I'm asking is in my analysis, the weather SaaS, the SaaS revs from weather were quite so substantial. Are you starting to see a recovery back to historic levels in that regard?
Alana Forbes: We are. Yeah, we are.
Bruce Krugel: In addition, right?
Kent Jacobs: Yeah.
Alana Forbes: Yeah. It is.
Bruce Krugel: Okay. And then -- okay. Sorry. And then my final question, the WVSS device can interface with both the 228 and the Edge box. Are you seeing any preference from customers, what their inclination is? Do they prefer the 228 or they're just waiting for the Edge device development to be completed?
Kent Jacobs: First of all, you're absolutely correct. The WVSS-II sensor can interface directly with an AFRIS 228 or the AFIRS Edge. And no, we're not seeing a preference. The value to many airlines when they incorporate the WVSS with an Edge or an AFIRS 228 is the combination of not just the information that's gathered for ABOs, but also for all the other services that the AFIRS products provide. So, no, we haven't seen a leaning one way or another towards the AFIRS 228 with [additional] (ph) SATCOM or the new Edge with the 5G capability. Both are capable, and both are being considered by our airline partners.
Bruce Krugel: Okay, great. Thanks. Those are all my questions.
Alana Forbes: Thanks, Bruce.
Kent Jacobs: Thank you, Bruce.
Operator: The next question comes from Kris Tuttle with IPO Candy. Please go ahead.
Kris Tuttle: Hey, thanks and congratulations guys on the top line and the margins. Really good. I did have a question on -- a couple of questions. One on in AFIRS. How would you characterize the backlog or the pipeline? I'm not sure how you look at it for AFIRS and maybe some color on the mix between the 228 versus the Edge in there?
Alana Forbes: Sure. so I think I can answer this question kind of in two components. One being the backlog, the second being the pipeline. The backlog is comprised of everything that's been contracted to date that we have yet to deliver that we anticipate to be delivered in the medium term. The backlog is largely 228 business. So it's a combination of our hardware and SaaS services, it’s -- the contracted backlog currently is around the $20 million mark, and it's about half hardware and then half SaaS services. Looking at our pipeline, we do have a decent pipeline for the 228 programs. However, the majority of that pipeline is the Edge product, I'd say about 60% to 65% of our outstanding pipeline is for the Edge products.
Kris Tuttle: Okay. That’s helpful, Alana. Thank you. One question from a customer perspective, those that are going with 228 today, have they asked or is there kind of an upgrade option for them, if they want to go with the 228 today, but interested in shifting over potentially to the Edge? Is that something that is part of your market dynamics or is that just not something that they ask for?
Kent Jacobs: No. That's a really interesting question. The AFIRS Edge and the AFIRS 228 are very complementary product. The Edge is not a flat-out replacement or upgrade of the AFIRS 228. The 228 provides SATCOM capabilities, both voice and data and the ATC, air traffic control data communication capabilities and customers that have chosen the AFIRS 228 or are considering the AFIRS 228 may very well consider the Edge in parallel to that. In fact, we have multiple opportunities right now where both products are being considered by airlines at the same time where they would purchase an AFIRS 288 and an Edge. So an upgrade path of the 228 to the Edge the is not really something that we're looking at. It's more so if you have a new AFIRS 228 already on your feet, you would consider adding the AFIRS Edge to it to get the additional 5G capability that the 228 doesn't provide. So they're complementary products, yeah. And we're actually seeing a lot of interest in both on the same aircraft.
Kris Tuttle: That's great. That's obviously super helpful. Thank you. Shifting over to weather for a second. I know you don't control the timelines here, but I'm wondering if the key agencies that you're working with now, like NOAA in the UK, do they have goals or have they expressed their desires in terms of the timeline for making decisions that will affect your contracts with them?
Kent Jacobs: Yeah. I feel the pain in the question, it's so difficult because sometimes these contract negotiations take so much longer than expected. And the agencies that we're dealing with are very much interested in completing the contract negotiations and getting on to the program. They may be government agencies. They may be fairly bureaucratic. But the people in those programs are desperate for the data that they wanted as much as we want to give it to them. So the timelines are always being -- they're always being considered. We push as hard as we can and often from the government side, they're pushing hard to get to negotiations and to get the product on the aircraft.
Kris Tuttle: Okay. I guess we don't know what we don't know. Last question for me and also on the weather side. So I know some of the congressional testimony you guys were just buying as was a satellite provider. And from your perspective, are airframe-based sensors complimentary to satellite. Are there key advantages that satellite base versus airframe deliver? Or it's just going to be both? I was just -- I'd love to get a little bit of perspective from you on that.
Kent Jacobs: Yeah. Look, satellite-based imagery is great. It can provide coverage around the world. But there are significant limitations to it. And the further you come down to the atmosphere with the satellite-based imagery be less accurate and the less reliable the information becomes. The testimony that was given by FLYHT and by other groups a couple of months ago, demonstrated that we really do believe that the weather-based observation, the ABOs of the aircraft is flying through the actual map of the air that is being recorded and reported on is absolutely key to the weather models around the world. The aircraft-based observations have been identified as the second most valuable input to weather models that are run by organizations like NOAA and UK Met. It is that critical to the model.
Kris Tuttle: Okay. Yeah. I appreciate that. There's no way they're going to get that data other than to have sensors in the atmosphere.
Kent Jacobs: That’s correct.
Kris Tuttle: Yeah. That’s good for me. I’ll let others jump in. Thanks guys again and congratulations.
Alana Forbes: Thanks, Kris.
Kent Jacobs: Thank you, Kris.
Operator: The next question comes from Dick Ryan with Oak Ridge Financial. Please go ahead.
Dick Ryan: Thank you. Kent, on the $1.4 million license award, what's the timing? How should that flow when we look at the Q3, has some of that already gone out in Q2? And what's the prospect of kind of, getting follow-on orders from L3?
Kent Jacobs: We expect that to flow through in Q3.
Alana Forbes: Yeah. With the majority -- the majority came through in Q2 and the remainder in Q3.
Kent Jacobs: In Q3. Thank you, Alana. Yeah. So that's that way it's spread out between the two. The follow-on order -- as for follow-on orders, look, the licensing is -- Alana has always described it as being lumpy. It comes and goes. It often comes when we're not entirely expecting it. I don't know where we stand with the next orders that will come through. What I do know is that the aircraft -- the airframer, the manufacturer, the OEM that uses the product is the most successful on the planet. They build a lot of aircraft. But looking forward, we don't get a lot of information regarding what's coming down the pipe in that regard. It's a matter of wait and see.
Alana Forbes: Yeah. And I should also mention, while revenues were split between Q2 and Q3 for that order, all of the cash, none of it was received in Q2. So that is expected to be received in Q3, which will help fund first year.
Dick Ryan: Okay, great. Thank you. When you look at the Edge, what's your sales group hearing from their conversations, the incumbent, the big market share. Anything on the competitive landscape that's changing whether it's just a plug on to 4G LTE? Or is there anything else occurring on the 5G side?
Kent Jacobs: Regarding the competitive landscape, we still don't see any direct competition in that 5G space. So FLYHT is -- would be ones -- we're the only ones that are talking about 5G capability of product at the various shows at the conferences that we're attending. That doesn't mean that there won't eventually be competition in that space. But right now, it's ours for the taking. The quicker that we get the STCs completed and we start putting the product on the plane, we secure our position in that. So nothing really new to report on the competitive space.
Dick Ryan: Have there been significant decisions made by airlines just to do the plug approach 4G LTE for now and push the 5G decision down the road away? Or are the airlines sitting back, waiting to make those decisions?
Kent Jacobs: Yeah, that's a good question. And I think what we're seeing is a bit of a mix there. So some airlines have made the choice. And some of them made the choice years ago to upgrade to the LTE option, which gives them better coverage and better products for a few more years, but we know that that's going to end in the next few years. So there are definitely airlines that made that choice. Some made it before FLYHT even introduced the 5G product. There are airlines that are considering still the LTE product, and they definitely recognize limitations of it at this point. So there is a bit of a push from our competition on that LTE side. We think we're very well positioned to address that and to deal with it. It's a great conversation. We're glad to have with any airline. But yes, the LTE option, it does remain, but we're confident that the 5G product is the way to move forward. It is where the airlines will eventually go.
Dick Ryan: Okay. Thank you. So just one last one. On the UK Met, you covered that pretty well. But has the scope of work in your negotiations with them, has it increased, decreased, stayed about the same level that you've talked about in the past? Just wondering how kind of the ultimate award could be versus what the early expectations have been?
Alana Forbes: Our conversations continue with the UK Met. We're getting closer all the time with them. The conversations have remained largely the same. However, I will say that there are possibilities for an increased number of aircraft under that proposed contract heading into the future. So I can see in addition to the hardware and the SaaS opportunity that's contemplated at the moment that there would be room for growth.
Dick Ryan: Great. Thank you.
Alana Forbes: Thanks, Dick.
Kent Jacobs: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Kent Jacobs for any closing remarks. Please go ahead.
Kent Jacobs: Thank you very much. And I want to thank everybody for your time today. I hope everybody is having a great summer, enjoying a bit of time off. And I hope that everybody is excited as we are here at FLYHT as we look forward to the third quarter, the remainder of this year and into 2024. The excitement around the release and the initial installation of the AFIRS Edge is driving a lot of energy and excitement here in our organization. We're right on the cusp of something with the Met agencies. We're still excited about it. It's going to be a confirmation that we've made some great choices in the past. And we're very excited about what's going to happen in the next few months, and what's going to happen in the next few years. So thank you, everybody, for your time and your interest in FLYHT.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.